Operator:
©:
Bob Lawson:
©: Some of the numbers in this presentation will be presentedon a non-gap basis. The most directlycomparable gap financial measures and the reconciliation of the non-gapfinancial measures to gap are provided in today’s press release. After this call concludes, a copy of ourprepared remarks and supplemental financial information will be available onour website. With that, I will turn the call over to Steve Bennett.
Steve Bennett: Thanks, Bob, and thanks to everyone for joining us. If you read in our press release, Intuit justdelivered a very solid Q1 with revenue and non-gap earnings per share slightlyabove the top end of our guidance. Financial Institutions continues to add new internet bankingand online bill pay and users at an impressive rate. I’ll provide a bit more perspective later inthe call, but first Kiran will take you through the financial details. Financial Institutions continues to add new internet bankingand online bill pay and users at an impressive rate. I’ll provide a bit more perspective later inthe call, but first Kiran will take you through the financial details.
Kiran M. Patel:
©: Our Payroll and Payments segment have revenue of $131million in the first quarter, up 5% year-over-year. Excluding the impact of the sale of certainassets to ADP, growth would have been 18%. Growth in this segment was driven by a 22% increase in paymentscustomers and a 3% growth in transactions per payment customer. Our Payroll and Payments segment have revenue of $131million in the first quarter, up 5% year-over-year. Excluding the impact of the sale of certainassets to ADP, growth would have been 18%. Growth in this segment was driven by a 22% increase in paymentscustomers and a 3% growth in transactions per payment customer. Our Payroll and Payments segment have revenue of $131million in the first quarter, up 5% year-over-year. Excluding the impact of the sale of certainassets to ADP, growth would have been 18%. Growth in this segment was driven by a 22% increase in paymentscustomers and a 3% growth in transactions per payment customer. Consumer tax revenue for the first quarter was $13.3 milliondriven by late filers from tax year 2006. This is in line with our expectations and up 18% year-over-year.
©: Internet banking and end user acquisition continues to showgood momentum with 13% growth in the quarter compared to Q1 ’07 and a base of8.1 million end users. Bill pay end users also continue to grow impressively with23% growth in the first quarter compared with Q1 ’07 and a base of more than2.2 million end users. Growth would havebeen higher, but one of our larger accounts was acquired through moving about73,000 internet banking end users and 18,000 bill pay end users from ourcustomer base. This movement wasanticipated and does not impact our financial plan for fiscal ’08. The other business segments had revenues of $70 million forthe first quarter, up 11%. Moving to the balance sheet, Intuit ended the first quarterwith approximately $1 billion in cash and short term investments. Cash used in operating activities was $161million. Capital expenditures was $65million in the first quarter, up $36 million versus last year as we build ournew data center and expand office capacity to support our growth. We used $215 million to purchase 8.1 million shares ofIntuit’s stock in the quarter. As of November1, we have $550 million in authority for future share repurchases and we have a10b5-1 plan in place to allow us to consistently repurchase stock through theyear. We are reaffirming our previous revenue and earnings pershare guidance and providing initial operating income guidance for fiscalsecond quarter which ends January 31, 2008. For the secondquarter, we expect the following:
©: Excluding the impact of these items, we would have hadexpected Q2 revenue growth of 8% to 10% and Q2 non-gap diluted EPS of $.40 to$.42. The other item to note is that our guidance assumes that thealternative minimum tax legislation will be enacted in time for the IRS tocomplete forms by January 31. If thereis a delay beyond January 31, we will see consumer and ProTax revenue shiftfrom the second quarter to the third quarter beyond what we have guided. With that I will turn the call back over to Steve.
Steve Bennett: Thanks, Kiran. Thisis Kiran’s last earnings call as our CFO and I would like to thank him for thisexcellent contributions. You willcontinue to hear from Kiran as he leaves our TurboTax business, Neil Williams will be in place for nextquarter’s call. Before we get to your questions I would like to provide myperspective. We continue to execute on our gross strategy of being ingood businesses and attracting new markets that have large, unmet orunderserved needs that we can solve well. We then apply customer-driven innovation to develop solutions that areeasier and a better value than other alternatives. As a result, we grow our existing categoriesand create new categories for Intuit. This is the strategy we have been executing for the last several yearsand we continue to learn and get better. That is why we believe we are positioned for another strong year. In small business we released QuickBooks 2008 in Septemberto enthusiastic reviews with CNET giving it an excellent 8 out of 10rating. We are optimistic about themomentum of free simple start combos with the opportunity to attach Intuitonline payroll and payments to those simple start units. It also gives us the potential to reach 5.5million small businesses that have payroll needs that don’t use QuickBooks. We continue to see strong growth in our payments businesswith plenty of potential in our QuickBooks base to continue to growpenetration. We continue to look forareas where we can expand the value we provide for small businesses viapartnerships or acquisitions. Our financial institutions business continues to showprogress. Internet banking and onlinebill pay and [inaudible] is up nicely again this quarter. You may have seen the recent announcementabout new financial institution customers. We have had the largest new bookings quarter in the history of DI and wecontinue to be enthusiastic about this business and the ability it gives us tocapitalize on internet banking growth and the new customers in thatchannel. I’ve never felt better about the future of Intuit, ourprospects for continued growth, the strength of our leadership team and theopportunities in front of us. As youknow this is my last earnings announcement as the CEO of Intuit. I’m proud ofthe results we have delivered my in eight seasons and I am confident handingthe reins of this vibrant and healthy company to Brad I am looking forward tocontinuing to serve on it to its board and helping the team continue thiscompany’s excellent run. Now I would like to turn a call over to Brad who will lendhis perspective.
Brad D. Smith : Thank you Steve and thanks for a great season as the CEO ofIntuit. The progress this company hasmade under your leadership is something you should be extremely proud of. Since we made the CEO transition announcementin August I have been asked many times that I’m going to make any immediatechanges to the Intuit strategy. Myanswer is quite simple. I’ve had theopportunity to be a part of building a strategy along with the rest of theIntuit leadership team. Of course we aregoing to make adjustments as the environment changes and new opportunities areuncovered, but in the near term you should expect us to continue focusing oncustomer needs and solid execution to draw the steady double-digit revenuegrowth that you have seen from into it for the past several seasons. I couldn’t be more excited about taking the helm of thisgreat company and building on the strength that we have to make us evenbetter. I’m also excited to welcome NeilWilliams to the Intuit leadership team as the next chief financial officer forthe company. Neil is a great fit for Intuit. His deep and accomplished experiences withVisa USA and inthe banking industry overall gives him great insight and experience into two ofour most important growth areas. Now Iam looking forward to working closely with him for many years to come. With that let’s get to your questions.
Operator: Thank you. Ladies andgentlemen if you would like to ask a question please press the number one onyour telephone keypad. If you would liketo withdraw your question press the pound key. Our first question comes from Adam Holt at JP Morgan.
Adam Holt - JP Morgan: Good afternoon. Myfirst question has to do with the QuickBooks business. You saw 6% growth in units, 9% growth inrevenue, and you mentioned the comments that some of that may have to do withthe timing of ship in versus sell through. I was hoping maybe you could talk a little bit about what you think theimpact of the average selling prices moving up has been on that business andwhat’s the early data you can get from some of the new lower end products aswell.
Steve Bennett: Yes this is Steve. Ithink it’s really early to make those kind of calls. Look this is traditionally our slowestquarter and so I think it’s really hard to project the future based on whatwe’ve seen. I think we’re off to a great start. We have some great momentum on the simple start downloads, our attachrates to payments and payroll are higher than what we had thought about it, butit’s still just really early in the game. I just see where one of our competitors raise the price 50 bucks ontheir core offering so we think there are a lot of positive signs for us. We’ve remixed the product offering line interms of raising the price on Premier and so there are a lot of movingparts. Let’s wait until we get a littlefarther end of the season to give you more details on some of that. Brad, would you add anything to that? Do you see anything different?
Brad D. Smith: No, no actually I don’t. I think the headline here also because we have an opportunity as webegin to get simple start downloads and the ability to attach them further inthe season to actually see what the impact would be, but overall everything isperforming as we expected.
Adam Holt - JP Morgan: If I could just shift gears here for just a minute to thefinancial institutions business? If Iheard you correctly Steve, you said you had a record bookings quarter for theDigital Insight business. Would you bewilling to share what that means in terms of either new signings or how youlook in bookings and obviously there’s been some volatility in financialservices understanding DI has focused on smaller institutions, is there anytrickle-down affect or how would you anticipate the Digital Insight businessbeing resilient live in a sort of volatile environment?
Steve Bennett: Yet we’ve got that question a few times and I think the keything is despite the sub prime challenges the financial institutions are underthey need to be competitive in the online banking field. It’s really an apples and oranges thing. And what they’ve learned is that customersthat do online banking are more profitable because they have higher balanceshigher retention. I could even argue theother side that online banking will become more important for financialinstitutions as they are under profitability squeeze and so I think it goodnews for our business that we are right on track to where we thought it wasgoing to be. I don’t have themagnitude-I don’t think we’ve released kind of the records on bookings becausethat kind of our backlog now to get people up and install. I think there’s a lot of positive momentum inthe marketplace and people are excited about finance works and what we aregoing to do to make it easier for small businesses and consumers using ouronline banking solutions to manage their financials. The business is on track. We are performing well. I don’t see much if any correlation betweenthis and some of the current short term sub prime mess and write off that weare seeing.
Adam Holt - JP Morgan: Terrific. . Thank you.
Operator: Our next question comes from Heather Bellini of UBS
Heather Bellini - UBS: Hi, thank you. Steve,I was just wondering you guys have done a great job in the past of expandingthe category as other firms at other companies have tried to enter thebusiness. I was just wondering if youcould comment a little bit (and I apologize if I missed this) regarding what Peachtree announced the otherday with how they are trying to go after the QuickBooks installed base?
Steve Bennett: I actually am not even aware of that. That is pretty standard fare. We have had, two or three years ago weactually built a conversion kit for Peachtree customers. We have never had any conversion kit becauseeverybody was trying to steal customers away. We were not this aggressive trying to steal the errors. We actually built that about three years agoand were surprised you got about five times as many converters as we thought wewere going to get, so this may just be some sort of retaliation. At the end of today I don’t see a lot ofQuickBooks customers going to leave us to go to Peachtree no matter whetherthey have the conversion kit or not. You want to add something to this either Scott or Brad?
Brad D. Smith: Yes. Actually I wouldjust echo what he said. We have today apretty good feel for what types of decisions are being made in the market andwhere customers are going if they do end up moving off of QuickBooks. What we’ve seen going on with Peachtree right now is thatthere is a lot of change within (inaudible) in North America. I believe they are looking for opportunitiesobviously in the market to capitalize on things that others have done in themarket for several years. So net-net isI don’t see that creating any different trajectory and our business and Iwouldn’t at this point see any different changes from our side on the path that we would useto respond.
Heather Bellini - UBS: Okay and then just one follow up if I may on the payrollside of the business and also payment. People think of those at a little moreidea not as immune as the rest of your business is to the economicenvironment. Can you talk a little bitabout payroll and payments and I am not sure if you were that big in thesebusinesses during the time we went through the last recession?
Steve Bennett: Actually I would take a little point of contention on and wedon’t think our business is that cyclical depending on the economy eitherpositively or negatively because in a time of more challenging employment mostpeople go out and start a small business which creates all sorts ofopportunities for us. People have to do their taxes irrespective of theeconomy, so I think payroll and payments are recurring revenue businesses andso in theory that may mean that there are less. I actually think that is a red herring argument. I think our whole business motors alongpretty consistently irrespective of the economy and there is all sorts ofmovement in and out.
Heather Bellini - UBS: Well yes, I know. Iwas just wondering QuickBooks and consumer tax I agree with you. I was just wondering if payroll and paymentsare counterbalances to the growth you get maybe in people starting their ownbusinesses plus people starting to file their taxes on their own?
Stephen Bennett : I would like to tell you yes but I do not think it’strue. I do not think the answerto…(inaudible)
Heather Bellini - UBS: Ok.
Brad D. Smith: Heather, let me just add one perspective. Our payroll business, unlike some of theothers, we don’t get paid in general per head / per employee. We get paid per company so we are not atsubject to changes in employment levels or float. Because that is not a big thing for us. In fact if there are large companies who are laying peopleoff in recession many of those people will go start small businesses and thatis good overall news for us.
Heather Bellini - UBS: Thank you very much.
Operator: Our next question comes from Brent Steele - Citibank
Brent Steele -Citibank: Thanks, good afternoon. Kiran, if you could just provide us with an update on the consumer taxbusiness. You had mentioned that theanalysts say that last year you got off a little slower start than you wouldhave liked to out of the gate. Can yougive us an update of where you stand now headed into the two most importantquarters for the consumer tax business and perhaps some of the highlights ofwhat you are changing around?
Kiran M. Patel: Yes, Brad. Let mestart by saying I am very excited about the upcoming tax season. As I shared with you on investor day, we had tremendous earnings in thesecond half of last year’s season, we rolled out free for every body the secondhalf of the season. We improved ourconversion rates on the website significantly. We continue to make a product easier and easier to use, so havingpursued on all of those fronts, I feel very good about going into the seasonand anxious to get the game going here in January.
Brad D. Smith: Let me just add one point, I think this is really animportant thing. Backspace that Ibelieve investors have possibly overlooked to this point. It is pretty hard when you are the leaderwith a kind of share and presidents we have in the consumer tax business – thesoftware consumer tax business – the performance we had the second half of lastyear if you remember investor day was quite positive. The thing I am so bullish this season aboutis because that is a very hard message for our competitors to compete with. Upto that point we left a vulnerability at the low end to other people that werefree and we close that gap last year and proved that we could grow the categoryand grow the share in that market. Weare quite excited about the impact that could have on this entire taxseason. We also saw that one of ourmajor competitors of retail raised their prices this year which we held toshare last year despite the big price gap. Now with them raising their prices we think that is only going to helpus also. We see a lot of positive(inaudible) signs based on the execution the team has made from the movescompetitors have made and some of the improvements we have made between now andlast season. Brent, we are lookingforward to a really strong tax season.
Brent Steele - Citibank: Just a quick follow-up on the cap-ex that obviously jumpedup and you have been guiding to that. Where do you expect that it’s going to level out?
Brad D. Smith: I think we will see at least that this will be the big yearfor cap-ex. We will see some trading FXinto the next fiscal year and beyond that we expect cap-ex to return in linewith the depreciation shield.
Brent Steele -Citibank: Thank you.
Kiran M. Patel: No change from what we said at investor day. I think it is tracking pretty much that way.
Operator: Our next question comes from Ross McMillan - Jefferies & Co.
Ross McMillan - Jefferies: Yes thank you. Forward looking into the consumer tax business, we notice that this yearyou seem to have kept the (inaudible) for PC-based product price is relativelysimilar to last year, but you have increased some filing prices. Can you help me understand as you think aboutthat the rationale for that? I had one veryspecific question: could you help me understand the relationship between thenumbers of self-prep software consumer tax users that file federal on e-fileand also file state on e-file? Is it asimilar number or is there a disparity between the two? Thanks.
Kiran M. Patel: On the second part of your question Ross, we have not sharedthe mix of our business and the attach rates so I won’t go into that. In terms of pricing, you are right. The products available for downloading todayon the desktop we have not changed prices year-over-year. After we took a price increase last year, asSteve mentioned, and still make share in our retail channel the e-filing feewas increased during last season and we simply carried that increase over fromthe second half of last year into this season.
Brad D. Smith: That is just for the desktop product. I think it is important to realize again freee-filing is included in our web offering so we are really talking aboute-filing just for the desktop. Thegrowing business is really the web. Itis free e-filing onto the Web product. The paragraph
Ross McMillan - Jefferies: That is fair. Maybejust one quick quote on Digital Insight. You mentioned that one larger customer has been acquired. This is a more general question. Obviously a lot of your customers are at thelower end of the spectrum of financial services institutions. How do you think about consolidation or thepotential for more consolidation there that ultimately impact yourbusiness? How do you prepare or thinkabout that? Thanks.
Brad D. Smith: That is a good question and it is one we got frequently onthe road trip. We studied this over thelast five years and acquisition is actually about a neutral for us. That neutral in this one case it was a netloss. However, net-net it is about abalance which is that people that use our software (use Digital Insight) areacquiring others. It is probably notsafe to say we are at the smaller end of the food chain. What we are seeing is more and more of thelarger banks (banks with assets up to $100 billion) are starting to think aboutoutsourcing versus building their own. So, we are continually moving up and some of the newcompanies that we have recently won (some of the new FI’s) are in the largerasset size as opposed to the local and regional and community banks. I think that trend will continue. I do not think we will get to themoney-center banks (the top 10), but I think we will continue to make progressin the next 100 banks as the world evolves here. The better we make our solution byintegrating our proprietary content like QuickBooks and payroll and onlinepayroll into online banking, I think the more lucrative it will be to thelarger financial institutions and the more difficult it is going to be for themto compete on their own.
Ross McMillan - Jefferies: Great. Thank you.
Operator: Our next question comes from Jim McDonald - First Analysis.
Jim McDonald - FirstAnalysis: Two questions on Digital Insight: Now that you have owned itfor a while, have you seen any competitive response to the fact that you purchasedDigital Insight?
Steve Bennett: I think the answer is the big new thing is no surprise isthat Fiserv bought CheckFree. I think westarted the turmoil by buying Digital Insight. That has been a terrific acquisition for us. We are pleased with the progress as I talkedabout earlier. I know there is a lot ofnoise in the marketplace right now from some of the competitors. I think at the end of the day, we think (aswe said at investor day) that the Fiserv acquisition of CheckFree creates somerisk, but also lots of opportunity for us as we are Checkfree’s third largestcustomer. So, there is a balance oftrade between the companies. At the endof the day, our focus is as it has always been since Scott founded thecompany: to focus on doing what’s bestfor the end customers, the financial institutions, and we are having all sortsof discussions with Fiserv and it is my hope as the outgoing CEO and acontinuing board member that we will find a way to work with Fiserv to providea better value proposition to financial institutions. We will grow the category and that willresult in both companies being more successful.
Jim McDonald - FirstAnalysis: My follow up is related to that: Personal and businessfinance works products. Can you justgive us an update on introduction timing and how the introduction has gone sofar with the personal version?
Steve Bennett: Well, we have rolled out the initial launch of consumerfinance works to three different financial institutions, so we are launching,learning and remember, we roll out each financial institution one at atime. We are rolling out with the firstthree. We are learning a lot. We are pleased with the response. I think there is a lot of interest. There is a lot of people that are signed up totake it and so we are now into a – before we step on the gas – we are into finetuning – but there is a lot of demand and it is going to take us quite a whileto get all the people that are interested up and running. So, we are quite excited about that. Then, small business will follow at some point in the futureafter we get the learning on the consumer finance works.
Jim McDonald - FirstAnalysis: Thanks.
Operator: Our next question comes from Michael Millman of SoleilSecurities.
Michael Millman -Soleil Securities: Thank you. Couple ofquestions on the tax last year. You gaveup a path at least on a large bulk deal. Can you talk about your strategy given what you have been doing in thefree market? Are you going to get theprofitability of the free product? Areyou at the point you are either offering the product free for these bulk dealsand/or are you actually paying to get them into the distributors?
Steve Bennett: That’s an easy one. We are not paying anybody to sell TurboTax. The bulk deal still exists. There are different opportunities that arepure consumer play, Michael, so we will still see what happens. Competition is always tough and we will seeif we prevail and it is too early to comment on that. Let’s see how it plays out. We will have more information on that as we goforward.
Michael Millman -Soleil Securities: Talk also on tax – differentiate between the “free” and the“ffa” and maybe in regard to state attachments, RT, and e-file?
Steve Bennett: I think that is a really good point because “free” in thecommercial free is not completely free. Free in free file is completely free. It is free state, freefederal, free e-filing. That is eligiblefor our free offering target is 50% of the population. That’s no different than it has been the last5-6 years. So what is new is the freefederal (free 10-40) within charges for state and for RT’s and things likethat. I think the bottom line here isthat as we saw in the second half of the last year, those two could co-existand we grew the category by attracting new customers. 80% of which were new to the TurboTaxfranchise because we offered a free commercial product. So, when we say “free commercial” we need tobe careful about that, Neil. You cankeep your eye on that, too, and Brad. It’s really free federal, but then we do monetize those customers in adifferent way. And we make money onevery free commercial customer.
Michael Millman -Soleil Securities: And FFA doesn’t take RT?
Steve Bennett: No. FFA is free. No RT’s in the FFA program. We work with the IRS to clean up all of theadd-ons. There is no RAL in FFA, thereis no RT. It is completely no add-onproducts. That was part of thenegotiations.
Michael Millman -Soleil Securities: Can you give us an idea of the calculated lifetime value is ofa web-based tax customer versus desktop tax customer.
Steve Bennett: They are both very, very high.
Michael Millman -Soleil Securities: Can you quantify that slightly?
Steve Bennett: No.
Michael Millman -Soleil Securities: Ok. Thank you.
Operator: Our next question comes from Scott Seiberger - CIBC WorldMarkets.
Scott Seiberger -CIBC World Markets: Hey, good afternoon. After that last response I think I know the answer to this one, but youguys had mentioned looking for some legislation to be done in time for thestart of the tax season on AMT. Anyquantification on that? If you can’tanswer that, can you give us a feel on modeling? We’ve seen the trend of fiscal 2Q gettingpushed back into 3Q and consumer tax over the years. Just a feel for those two quarters this yearat all? That would help. Thanks.
Steve Bennett: Yes, Scott. I shouldjoke with everybody that was listening. The reason, obviously, we don’t want to share the lifetime value is becausethere is a lot of proprietary information in there that we just wouldn’t want toexpose. However, we talked before thatpeople that buy TurboTax and you see the retention – if they are happy and wedeliver a good experience, they buy for a lot of years to come. More than ten. So, it is a very high lifetime value. With respect to the shift from Q2 to Q3, I think you heardKarin and Bob and I talk about this continuously. At the end of the day, what we know is thatthere is going to be about 125 million people who file their tax returns thisyear. This quarter two – quarter threesplit is kind of an arbitrary split and there’s always big things moving backand forth and so we don’t get as focused on that as you guys do – trying tolook at how the tech scene is going. Because of that we started giving you these updates which we do duringthe season. You saw that we had a $23million move from Q2 to Q3 for protax for the same reason we had it in consumertax in the past. I would tell you thatevery year there is more noise about AMT, but every year we have these samethings waiting for the government to get forms out and they come in at the lastsecond. There is just more noise aboutit this year. This is something we deal with every year and at the end ofthe day if we know something specific - as soon as we know it we will let youknow it, but if it does push from Q2 to Q3, we know the revenue is going to bethere in Q3, so it’s just the trend you said you’ve seen. I have seen it for eight seasons in arow. I just think there is more noiseand I don’t think there is a lot more rift this year to more revenue moving upthan we thought, but we will see.
Scott Seiberger -CIBC World Markets: Sure. Fairenough. Thanks. And a question about your marketing marginline and your R & D margin line? Canyou just talk a little bit about how you see those trending over the year? I know you started some TV ads with QuickBooksas well last year. Could you work that in a little bit on how that is helpingor hurting or what you are going to do there? Thanks.
Steve Bennett: Yes. I think, likewe’ve talked about over the last few years, we expect to continue to invest andsee our R & D as a percentage of sales grow, speaking a little bit for Bradhere. I think our marketing – we arespending more, but getting more efficient, so I think marketing might growabout in line with revenue. R & Dshould grow higher. As you have seen, G& A will grow slower and our support costs as we eliminate the reasons customershave to call by making the product easier should go down over time. We have been on this path for the last 4-5years to reallocate money to development (R & D) for products that aregoing to drive long term growth. I wouldbe surprised if that didn’t continue under Brad’s leadership. That’s the right path for the company andthat’s the path that we have been on.
Scott Seiberger -CIBC World Markets: Thanks. Comments on TVadvertising for QuickBooks and TurboTax?
Steve Bennett: I think QuickBooks – our advertising last year wasaccretive, but not as accretive as we thought. TurboTax continued to be accretive, so we keep raising the level alittle bit on QuickBooks until we find that sweet spot. Every year we have raised it it has stillbeen current period-positive ROI. QuickBooks I think we did some things and I think we thought there maybe better ways to spend our advertising for our marketing funds for QuickBooksgoing forward. We did the test lastyear. We didn’t get the same kind ofpositive uplift that we do in TurboTax, so would you add anything to that,Brad?
Brad D. Smith: Yes. Scott, this isBrad. I think in QuickBooks, what welearned last year is that unlike in TurboTax, heavy up on TV didn’t get theresults as much as we would have liked. What we have done this year is to shift the investment to a mix of radiowith some TV and some local print. Soyou are going to see more of a media mix coming out of QuickBooks continuing tofocus on growing the category and growing the category and growing the newusers inside the QuickBooks franchise. It will be more of a mix and less on TV than it was last year.
Steve Bennett: There is more and more online, too.
Brad D. Smith: Yes.
Scott Seiberger -CIBC World Markets: Ok. Thanks that’s helpful. Congrats on a good start to the year.
Steve Bennett: Thank you.
Scott Seiberger -CIBC World Markets: Thanks.
Operator: Our next question comes from David Joseph - Morgan Stanley.
David Joseph - MorganStanley: Hi, guys. A quickquestion related to the prior question? I am looking at your gross margin and it seems like it was relativelystable this quarter versus the year ago period after being down a little bitlast quarter. I know that there is alittle bit of a mix issue going on there, especially with the recentacquisition of Digital Insight. Wondering if you can give us an idea of where that goes in thefuture? Then also, related to themargin, is really you have mentioned in the past that you expect the operatingmargin to improve to the mid-thirty percent range. Roughly, are we still heading in thatdirection longer term?
Steve Bennett: Yes. I think that asour business mix continues to shift to more and more service businesses, youare not going to see software like gross margins in service businesses. At the same time, the service businesses forall sorts of reasons, have great operating margins. Our focus is more on operating margin and aswe have talked about and would have in this year, we continue to get volumeleverage and we expect roughly operating profit leverage every year and hadbeen running about 10-0 basis points plus the last seven or eight years. This year it’s not because of a bunch of onetime events that we shared to sell the outsource payroll business, so we feelwe are not solving profiting margin percent, we are solving for revenue and EPSgrowth, but as a result of our business models with high fixed low variablecosts, as long as we continue to drive unit growth we get volume and profitleverage. I would then, and I know Bradtalked about this, we still expect double-digit revenue growth with operatingprofit leverage. That is still thefinancial guidance we are using to run the company.
David Joseph - MorganStanley: Great. Thank you.
Operator: Our next question comes from Vick Touramani - LehmanBrothers.
Vick Touramani -Lehman Brothers: Hi, guys. Just aquestion on the vision inside business. On the finance books portfolio, you mentioned the consumer finance booksproduct is with three institutions. Whendo you expect that to go to the mass market – with everyone? Then, on the S & B finance booksportfolio, when do you expect that to be launched? You had mentioned maybe early next year whenwe spoke to you guys last. And then,just switching over to the healthcare side, Microsoft has made some noiserecently with their acquisition of Global Care Solutions and also introducedHealth Walls. Do you see any overlap interms of functionality or is that just a different segment of the market theyare addressing?
Steve Bennett: Let’s stick with the last one. We don’t see any overlap with what Microsoftis doing with Health Walls at all, so set that aside because that is completelydifferent than what we are focused on. With regard to Finance Works Consumer, as I said we roll out onefinancial institution at a time so it will be a consistent kind of “get itright – roll it out” over then next, my guess would be, a year or year and ahalf. Because we will learn as we go andthere is a lot of demand. It is not likeshipping TurboTax on release so all of a sudden we let it go and a thousandfinancial institutions are signed up in a week. It will be more like we have to get them all set up. So, it will be a consistent, steady roll outwhich I think is good for everybody. That will be a lower risk and a much more smooth, better experience forfinancial institutions and we will be able to better execute with thatplan. Finance Works Small Business we are saying some time in calendaryear ’08. That is about how we want tobound it at this point. We are quiteexcited about the need and the opportunity, but there is a lot of execution wehave to do to deliver the kind of quantum change in customer experience forsmall businesses that is going to really “wow” them. So, that is the current view of what that isgoing to take.
Scott D. Cook: Yes, Vick, this is Scott. Let me add one more dimension to the question that you asked. It is entirely right what Steve said that wewill be rolling out Finance Works over the period of a year or two to financialinstitutions. However, the revenueupside happens before that because financial institutions, when they make theirdecision on who their online banking vendor is, they look at the productroadmap. They look at their futures indeciding who to cast their future with. Thepresence of Finance Works in the queue and Business Finance Works in the queueprovides something that our sales team uses very effectively to help financialinstitutions make the decisions to go with us and stay with us. The revenue benefits, as you said, unlike Taxwhere suddenly you are in every store in a week, but you get no revenue theweek before, here we get benefit from Finance Works even before financialinstitutions take advantage of it.
Steve Bennett: It is more like an enterprise-like scale.
Vick Touramani -Lehman Brothers: Just to follow up on that…any thoughts or comments onpricing as to how you guys are pricing the portfolio?
Steve Bennett: No.
Vick Touramani -Lehman Brothers: Ok. Then, this lastquestion – a follow up to a question earlier. On DI you guys had mentioned that you don’t see any impact given thevolatility in the finance services market. Do you expect any of DI’s customer base or banks to essentially go outof business? Do you see any risk likethat an ending up losing customers? Whatis your assumption there in terms of exposure to that segment of the market?
Steve Bennett: I think the simple answer to that is that we see that onlinebanking penetration is so low an growing so rapidly that there is a long termopportunity there and if a bank/individual financial institution – I think wejust had the first failure in 10 years of a financial institution. If that happens a little bit more, those customersstill have to go somewhere and they are going to use online banking. I think that is not material at all to theperformance and/or the opportunity for the future for online banking.
Vick Touramani -Lehman Brothers: That is a key point. In other words they will still end up in the same bucket, just in adifferent bank?
Steve Bennett: Yes, they are going to go to online banking through someplace and at the end of the day there is still such a large amount of non-consumptionthat this is a double-digit growth industry in my view for 5-10 plusyears. It is kind of like the ATMpenetration when we first launched ATM’s. It took ATM’s 25 years to get to 95% participation or something likethat. I think we are at a relativelyearly phase of adoption of online banking. I can’t imagine in 10 years that people are going to still be writingpaper checks, but you know we will see if I am right or wrong.
Vick Touramani -Lehman Brothers: Great, congratulations on a good quarter.
Steve Bennett: Thank you.
Operator: Our next question comes from GregSmith - Merrill Lynch.
Greg Smith - MerrillLynch: Yes, hi guys. Justlooking at QuickBooks Enterprise and Online edition. Both were flat in the quarter year-over-yearand actually flat with those six as well. I know it is early in the season. Is that basically the answer and we shouldn’t read too much into ituntil we see more progress in the year or is there anything we should read intothose numbers?
Steve Bennett: Well, online banking shouldn’t be – or QuickBooks OnlineEdition – shouldn’t be – isn’t flat year-over-year, is it?
UnidentifiedCorporate Participant: No. No. No.
Steve Bennett: Online Edition is up dramatically as you can see in thenumbers.
UnidentifiedCorporate Participant: Yes. Yes. Yes.
Steve Bennett: Gross approaching 50%.
Greg Smith - MerrillLynch: Ok, yes, I see, but I am just looking at the wrongnumber. But then Enterpriseis flattish?
Steve Bennett: Yes. And I think,Brad, what would you say about that? QuickBooks Online Edition is growing really, really rapidly tocapitalize on the great work the team has done there. Adding payroll really accelerated that growthrate. What would you say about Enterprise?
Brad D. Smith: Yes, I think on Enterprisethe short answer is that it is rounding. We are getting increased customers using that. In fact, we are also getting higher numbersof seats. We introduced 15 and 20 seatlicenses and we are seeing that mix move up. Really, there is no material change in terms of the trajectory andgrowth rate of that business. It’ssimply a rounding situation now on what you have got.
Steve Bennett: But I think what Brad just said is important forinvestors. So this is units and you’vegot rounding on small numbers. Revenuecontinues to grow nicely in that business because we are charging a much higherprice for 15 and 20 seat licenses. This isa business where we would expect revenue to continue to grow faster thanunits. Most of the other ones, units andrevenue are probably more akin, but this one it may not be as accurate, so weshould think about that over time.
Greg Smith - MerrillLynch: Ok. Maybe add adecimal.
Steve Bennett: Yes, I think that is good input – or switch the focus thereto revenue?
Greg Smith - MerrillLynch: Yes. One real quickquestion on Digital Insight. The bankthat went away, was there any kind of material termination fee that impactedthe results in any material way?
Steve Bennett: No it is something we planned for and we filtered it in overtime and that has always just been part of the projection.
Greg Smith - MerrillLynch: Ok. Perfect. Thanks a lot. I appreciate it.
Steve Bennett: Thanks, Greg.
Operator: Our final question comes from Terri Babe - ThinkEquity.
Terri Babe - ThinkEquity: Thanks, good afternoon. On Digital Insight, the revenues kind of declined sequentially a littlebit and user ads were up I guess a couple of points sequentially. Could you talk about that? Also, within that an update on the lendingbusiness and maybe if that explained part of it and I guess what yourexpectation is for the lending piece or thoughts or an update around strategicalternatives for that business?
Steve Bennett: You know, I think that is a good point. As we have talked about before, there are acouple of businesses that are not core to Digital Insight that when you takethem out the growth is more in the mid-to-high teens and plus we added(remember) these numbers that you see which are broader than just DigitalInsight. It is also our financialinstitutions business where we charged financial institutions money to downloadand connect with Quicken and QuickBooks and things like that. That business isn’t growing like it once was,not surprisingly, many of the FI’s didn’t like that. We are looking at how to deliver a bettervalue proposition, especially to the Digital Insight customers with respect totheir account activity fees for Quicken and Quick Books. The Digital Insights business is growing nicelyand we do have some businesses that are not part of the core that we areevaluating our strategic options on what the right way to approach those are.
Terri Babe - ThinkEquity: Ok, so no specifics on the Lennon business in terms of anupdate on or expectation for that business?
Steve Bennett: When we know the specifics we will tell you guys thespecifics.
Terri Babe - ThinkEquity: Ok. Thanks.
Steve Bennett: Thanks.
Operator: Gentlemen I am not showing any further questions. Would you like to proceed with any additionalremarks?
Steve Bennett: I would just like to thank everyone for their support overthe last eight years. It’s been a nicerun and we have built a really, really strong foundation and I am pleased withwhere we are. I think this is going tobe a really good season as we saw in consumer tax. I think the (inaudible) is, we hear aboutconsumer tax and Digital Insight. I feelreally good about and we are on track for another good season. So I am pleased to turn the reigns over tosomebody as capable and talented as Brad Smith and I am looking forward toworking with him to ensure success for the company for the next ten years. I am really glad Williams is here and Karinis especially happy about that since he doesn’t have to wear two hats so he canfocus on consumer tax. Thanks for yoursupport.
Scott Cook: This is Scott Cook. Iwould like to lead us all in a great round of applause for Steve Bennett’syears of growth and success at Intuit. What a foundation and what a growth platform you have built and whatresults you had too.
Steve Bennett: Thanks everybody. Goodbye.
Operator: Ladies and gentlemen, thank you for participating in today’sconference call. This concludes the call. You may all disconnect. Have agreat day.